Operator: Good afternoon and welcome to the PPG Industries Third Quarter 2018 Earnings Conference Call. My name is Denise, and I will be your conference specialist today. All participants will be in listen only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. At this time, I'd like to turn the conference call over to John Bruno, Director of Investor Relations. Please go ahead, sir.
John Bruno: Thank you, Denise, and good afternoon, everyone. Once again, this is John Bruno, Director of Investor Relations. We appreciate your continued interest in PPG and welcome you to our third quarter 2018 financial results conference call. Joining me on the call from PPG are, Michael McGarry, Chairman and Chief Executive Officer; and Vince Morales, Senior Vice President and Chief Financial Officer. Our comments relate to the financial information released on Thursday, October 18, 2018. I will remind everyone that we have posted detailed commentary and accompanying presentation slides on the Investors center of our website, ppg.com. The slides are also available on the webcast site for this call and provide additional support to the opening comments Michael will make shortly. Following Michael's perspective on the company's results for the quarter, we will move to a Q&A session. Both the prepared commentary and discussion during this call may contain forward-looking statements, reflecting the company's current view of future events and their potential effect on PPG's operating and financial performance. These statements involve uncertainties and risk, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures. The company has provided in the appendix of the presentation materials, which are available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information, please refer to PPG's filings with the SEC. Before introducing Michael, I would like to remind everyone that on October 8, PPG issued an update on third quarter financial results and guidance on fourth quarter earnings. Today we are confirming the fourth quarter guidance we provided on October 8. Now, let me introduce PPG Chairman and CEO, Michael McGarry.
Michael McGarry: Thank you, John, and good afternoon, everyone. Today, we reported third quarter 2018 financial results. For the third quarter our net sales were approximately $3.8 billion and our adjusted earnings per diluted share from continuing operations were $1.45. As we detailed in our preannouncement, we experienced increase raw material and logistic cost inflation in the quarter, with the third quarter representing the highest level of cost inflation since the trend began two years ago. We did not meet our elevated expectations for year-over-year performance. However we’ve made significant progress on increasing selling prices, have continued to aggressively manage our costs and have continued with capital deployment. For the third quarter our sales in local currencies increased by more than 3%. Reporting the higher local currency sales were selling price increase of more than 2% in the third quarter, marking the sixth consecutive quarter of improvement over the prior sequential quarter. Our sales volumes were flat in aggregate, but up about 2% excluding the previously communicated customer assortment changes in our U.S. architectural coatings business. Foreign currency translation turn to a headwind, compared to third quarter 2017 as the U.S. dollar strengthened during the quarter against several key currencies. Sales were unfavorably impacted by about $80 million from currency translation and pretax income unfavorably impacted by about $15 million. Looking at some of the business trends in the quarter, in the Performance Coating segment, aerospace coatings delivered another excellent quarter with more than 10% volume growth, led by above industry performance in the U.S. and Asia-Pacific. Architectural Coatings EMEA our organic sales increased a low single-digit in the quarter driven by higher selling prices. While overall sales volumes in Architectural Coatings Americas and Asia-Pacific decreased, we did continue to achieve high single-digit percentage organic sales growth in the U.S. and Canadian company owned stores. In addition, we continue to be pleased with the progress achieve to expand PPG’s offering at the Home Depot and we are proud to be named Supplier Partner of the Year at the Home Depot for the launch of the Olympic Stain and Timeless brands. Volumes grew at our Mexican PPG Comex business including the benefit of opening additional 40 stores during the quarter. Protective and marine coatings volumes increased with continued strong protected coating sales in Asia. The marine business had modestly higher new build volumes, which came off of a very low base. Automotive refinish coatings organic sales decreased by low single-digit percentage year-over-year trending lower as the quarter progressed. Volumes were impacted by lower demand in the U.S. and Europe, stemming from a change in customer order patterns, as several customers had high inventory levels due to lower end use market demand. Collision claims have fallen by 1% this year and the amount of vehicles being totaled instead of being repairs has increased by 1%, which both factors are negatively impacting overall demand. Our automotive refinish team continues to deliver outstanding products and solution to customers and has converted a net 3,000 global body shops to PPG so far in 2018. Our Industrial Coatings reporting segment delivered solid mid-single digit sales volume growth and progressed selling price investments during the quarter. Volumes in packaging coatings were up mid-single digit percentage as the adoption to our INNOVEL interior can coatings products continued. Selling prices in this business were also achieved. We anticipate growth to moderate as we’ve progressed deeper into the new technology conversion cycle and due to PPG’s strong growth in prior quarters. Automotive OEM coatings global sales volumes were flat compared to slightly negative global industry automotive builds. This business outperformed the market in the U.S. with recent market share gains. Sales volumes in China decreased a high single-digit percentage in line with lower industry production in China during the quarter, as lower consumer spending on autos drove sharply lower retail sales. From a regional perspective volume growth continue to be the highest in the emerging regions. Sales growth in Asia Pacific region was driven by growth in our aerospace, auto refinish and protective coatings businesses. Sales in China grew, but at a lower rate than the second quarter and softened as the third quarter progressed. Sales in India and Southeast Asia, grew at high single-digit percentage. Earnings in Asia Pacific have been below 2017 levels, as the region has been impacted by some of the highest levels of raw material and logistic cost inflation that we have experienced. Sales grew at mid-single-digit percentage in Latin America, supported by continuing outperformance by businesses in the Industrial Coatings segment and solid auto refinished and architectural coatings sales volumes growth. Sales volumes were flat in Europe. Volume growth in the Industrial Coatings segment was offset by lower sales in automotive refinish and architectural coatings EMEA. We anticipate modest volume growth in the fourth quarter on a year-over-year basis and lower sequentially due to normal seasonal patterns. Sales volumes were lower in the U.S. and Canada in the third quarter as strong sales in the Industrial Coatings segment were more than offset by lower volumes in both the automotive refinish and architectural coatings business. From an earnings perspective, our third quarter adjusted earnings per diluted share was $1.45, which was lower than the prior year. For the year-to-date through September 2018, adjusted earnings per diluted share are $4.75, which is higher than the prior year 2017 despite the cost pressures we have faced. Our earnings were impacted by elevated raw material inflation that rose by mid to high-single-digit percentage. Logistics cost increases, which includes the effect from higher costs and availability of transportation inflated nearly 20% compared to the third quarter of 2017. In the third quarter, we continue to make progress on our selling price initiatives. Price increased by more than 2% on a year-over-year basis as both of our reporting segments realized higher selling prices. We have secured further price increases for the fourth quarter and we'll continue to prioritize collaborating with our customers on further selling pricing initiatives. In addition to selling price initiatives, we are making good progress implementing our restructuring programs. Our two active programs delivered about $20 million of costs savings in the third quarter. As part of our newer restructuring program, we've already completed the closure of two factories and several distribution warehouses and are in the process of closing another factory and a couple of other warehouses in the U.S. We expect additional savings of more than $20 million in the fourth quarter. In addition, earnings per share benefitted from an ongoing cash deployment actions. Through the end of September, we have now repurchased about $1.3 billion of PPG stock in 2018. In the quarter, average diluted shares outstanding were 6% lower versus the third quarter of 2017. Our adjusted effective tax rate was about 21% in the third quarter, lower than the 24% rate from the third quarter of 2017. The reduction is related to recognizing favorable discrete tax items in the third quarter and the tax reform legislations that was implemented at the start of 2018. We are still anticipating a full year tax rate between 23% and 24%. As we look ahead, we expect to see greater volatility in global industrial demand, primarily in emerging regions. We anticipate that the year-over-year rate of raw material inflation will moderate due to the spike in inflation rates in the prior year quarter. And logistics costs inflation is expected to remain elevated. The new tariffs are starting to add some modest cost to our raw materials. We expect currency translation to have an unfavorable impact to our sales in the fourth quarter. Based on current rates, the unfavorable impact is expected to be between $50 million and $60 million in the fourth quarter. Specific to our businesses, overall net sales are expected to be lower sequentially due to normal seasonal patterns. In the U.S., we expect the economic activity to continue at a similar pace as we have seen in the third quarter of 2018 and that automotive OEM builds will be similar to the fourth quarter of 2017. Automotive refinish sales volumes will continue to be impacted by customer inventory destocking. In Latin America, we anticipate similar economic expansion as we have experienced in the third quarter of 2018. Growth rates in Asia are expected to be less than they were in the third quarter, with heightened volatility in China. Economic growth in Europe is expected to continue into the fourth quarter at a similar rate that we saw in the third quarter. Favorable end use market trends are expected to continue driven by growth in industrial production, partially offset by subdued architectural and automotive refinish coatings demand. We will continue to invest in growth initiatives including targeting certain growth spending in the fourth quarter with plans to spend an additional $5 million. We ended the third quarter with about $1.2 billion of cash and short-term investments, which continues to provide us with financial flexibility. We plan to deploy a minimum of $1 billion of cash in the fourth quarter on acquisitions and share repurchases as part of our previously communicated target to deploy a minimum of $3.5 billion in 2017 and 2018 combined. The acquisition pipeline in the industry remains active. We just announced the agreement to acquire SEM Products, an automotive refinish products manufacturer with the history of attractive margins and will continue to participate in other opportunities in our industry’s consolidation. In addition, we plan to continue to repurchase shares in the fourth quarter. Finally, we remain well positioned in all coatings end use markets and across all major geographic regions. Our excellent positioning along with our technology advanced products provide to us with ample opportunities to continue to grow and deliver shareholder value. This concludes our prepared remarks. Once again, we appreciate your interest in PPG. And now Denise, would you please open the line for Q&A.
Operator: Certainly sir. We will now begin the question-and-answer session. [Operator Instructions] Your first question will come from Ghansham Panjabi of Robert W. Baird. Please go ahead. 
Ghansham Panjabi: Hi, everyone. Maybe just starting off on auto refinish, Michael, you called out decreased collision demand in the U.S. and Europe as one of the factors impacting this business, but from your heat map it looks like you're also below the industry for the third quarter. I guess first off why is that, was the customer mix that impacted the third quarter or was it due to the timeline of your price increases or anything else?
Michael McGarry: Now that -- if you look at the heat map, Ghansham, that's really reflects our sales out to our distributors. It does not reflect their sales out to their body shops. So in reality, if you look at the sellout versus sell in, we’re still doing quite well. That’s why I referenced the fact that we’ve gained 3,000 net body shops. So the difference was, if you remember 2017 in the first half of 2018, we had very strong refinish sales. And many of our refinish distributors anticipate that continued market growth. And as you’ve seen, we’ve had very few natural disasters and we didn’t get the tornadoes and the Hales and all that kind of stuff this year. We also didn’t see the accident rate miles driven, it’s only up 0.3%, so that’s moderated as well. So I think overall, what you’re looking at the heat map is the sell in and sell out is still quite good.
Ghansham Panjabi: Okay, thanks for clarifying. And then just for my second question on selling prices, which were up 2.3% during the third quarter. Was that in line with where you thought you would be heading into the third quarter and if not, what sort of held that number back? Thanks so much.
Michael McGarry: No, Ghansham, I’d say it was in line with expectations. We had sales price increases in all of our businesses and improvement in all our businesses, which even includes automotive although, I’m sure someone is going to ask later about automotive. So I would say that still more increases are on the way.
Ghansham Panjabi: Thanks so much. 
Operator: The next question will be from John Roberts of UBS. Please go ahead.
John Roberts: Thanks. Michael, you mentioned raws were up mid-to-high single-digit percent year-over-year in the third quarter. What should we expect for the fourth quarter? So the comps get a little easier, as you mentioned. And then if raws stayed flat at their current level, or oil prices stay flat at their current level and they get pass through, what would you expect for 2019 over 2018?
Michael McGarry: Well, let’s focus on your fourth quarter comment first. I think we said, low to mid-single-digits. So, kind of parse where that number might be. As far as 2019 as you know, it’s very early to start to call 2019. We still don’t know what China’s going to do as far as environmental enforcement like they did last year. We think they’re going to be a little bit more nuanced in how they handle that. Last year, they pretty much mirrored by the same marching orders, I think this year they’re probably going to -- for those high performers they’re going to give them more lead life, for the low performers they’ll probably be more aggressive in enforcing the environment regulation. So I think that’s still to be determined, so I would definitely say though 2019 is going to have less inflation than 2018, but I think it’s too early to give you a number.
John Roberts: And then secondly, could you range the size of the deals that you might have in your pipeline, that’s there, just a number of small things that you’re working on, do you have anything large that we should think about?
Vincent Morales: Hey, John, this is Vince. Again we typically wouldn’t give details around that. I think we’ve said continuously throughout the year and as we’re saying today with our acquisitions of SEM it is a very active pipeline, some of these transactions that we talk to the potential sellers for years if not decades. So it’s active smaller mid-size deals.
John Roberts: Okay, thank you. 
Operator: The next question will be from David Begleiter of Deutsche Bank. Please go ahead.
David Begleiter : Thank you. Michael, when would you expect your pricing to fully catch up with raw materials, would be Q1, Q2, or somewhere in between perhaps?
Michael McGarry: I would say the gap is closing. It really depends upon the rate of inflation in the first quarter. But the real thing that we’re telling our customers is don’t forget that we probably got off the starting blocks three or four months later than normal because of some unusual factors in the industry. And so we’re going to have to continue to push increases all through 2019.
David Begleiter : Very good. And just so we finished, would you expect this inventory adjustment to be done in Q4 or could it leak into Q1 perhaps?
Michael McGarry: Well, the hard part if I answer that question is winter. How much snow are we going to get, what types of weather events. I would say we’re optimistic that the fourth quarter will begin the end of that. But it’s -- I would say it’s -- I am more confident on that than anything, but I would still put a little bit about pencil mark that there is some unknowns out there.
David Begleiter : Thank you very much. 
Operator: The next question will be from Robert Koort of Goldman Sachs. Please go ahead. 
Chris Evans: Hey, good afternoon everyone, this is Chris Evans on for Bob. Earlier you sited about $20 million of restructuring savings in the quarter, can you put this into context for maybe some of the stranded costs you may have incurred as a result of North American product realignments? And also can you give a little more clarity on the cadence of the Home Depot load-in and how profitability might be impacted in 2019 net of the losses at lowest?
John Bruno: Hey, Chris this is John. I’ll take a stab at your question about restructuring stranded costs. I would look at it this way, we’re looking to be margin neutral on that business that for our business next year in 2019. So working to take our cost and grow in other areas of that business. So we’re looking to be margin neutral in 2019.
Chris Evans: Okay. And then you recently put out an order OEM price increase announcement, does this represent any change in your behavior with customers in this end market or are you increasing the scale of the price announcements given how inflation is trending.
Michael McGarry: Well, definitely the scale is larger, but what we have remember that we’re further behind price increases in automotive than any other business and we know it and our customers know it. And that’s the most important thing. So we definitely are looking to get more traction on that and the same comment goes for China as well, the hardest place to get prices as we know is automotive in the next hardest is the region. So, this is an area that we’re highly focused on and the good news is we saw some early signs of traction in the third quarter and we expect to get more traction in the fourth quarter.
Chris Evans: Thank you. 
Operator: The next question will be from Kevin McCarthy from Vertical Research Partners. Please go ahead.
Kevin McCarthy: Yes, good afternoon. Michael, you made a comment that you experienced softer sales in China as the quarter progressed, can you elaborate on the product lines where you witnessed that and how would you characterize the order books for those lines here in October?
Michael McGarry: Well, the pronounced one was automotive, so China retail sales were down 5% in July, and were down 6% in August, they were down nearly 12% in September. And the early indication so far or the read in October is slightly better, but not anything to write home about. So -- and that impacts not just our automotive business, but also a little bit of our industrial business because as you know they're painting parts and they're painting bumpers and things like that. So that is by far the one that would impact. And when you look at the rest of our China business, protective was good, marine bouncing off a very low bottom, but that was better, refinish had a good one, packaging did pretty well. And so I would tell you overall it's really can find right now to automotive. But thing that I worry about and I try to signal this on going into third quarter before was the consumer confidence in China, with the tariffs consumer confidence has dropped. And when consumer confidence drops, then you start to see these big ticket items slow down. And so I won't be surprised if China tries to add some additional I wouldn't call it stimulus, but additional emphasis on how they can support the automotive industry because it is a very, very important industry to them. So we'll wait and see what happens, they haven't done anything yet, but it is a key industry for them.
Kevin McCarthy: Thanks for that. And then second question with regards to the U.S. architectural market in the DIY channel. Just wondered if you could comment on your inventory levels there and your current view of our customer takeaway trends.
Michael McGarry: Well, I would tell you our DIY is lower than obviously our stores that do it for me is continuing to outpace DIY. When we look at our customers' inventory in the DIY space, I would say they're not out of line. And the good news is they're enthusiastic about the products that we have. And so we should expect to see that continue to grow in that 2% to 3% to 4% range, but certainly below the store growth.
Kevin McCarthy: Thanks very much. 
Operator: The next question will be from Michael Sison of KeyBanc Capital Markets. Please go ahead. 
Michael Sison : Hey, guys. For the fourth quarter, can you give us a little bit of help on where you think the profitability will end up for the total company where you make some progress year-over-year in terms of margins. And maybe a little bit of color on each segment?
Vincent Morales: Hey, Mike, this is Vince. Just we said this before, we're still targeting an aggregate to get close to margin parity in total for the company. We’re working very aggressively on discretionary costs. We've accelerated some restructuring actions that we had originally planned for 2019 and 2018. So that's what we're still working toward. We do expect to see improvement in both segments from a year-over-year basis compared to the third quarter. But we're not going to year mark what each of those are. I will remind you Mike, we did have a spike last year in raw materials, precipitated by the Chinese environmental enforcement. That spike was really pronounced in our Industrial Coatings segment. So we should see -- we were up 400 basis points in margins in Q3 in industrial coatings. We should see that gap close considerably in Q4 relative to what happened last year.
Michael Sison : Got it. And then just from a macro standpoint, when you think about Industrial Coatings operating margins it probably end up somewhere around 13% or something in that range plus or minus a little bit. And then you guys peaked at 2018. So when you think about the delta, how much of that do you think you can get back overtime, how much of that’s raw materials. And what's the potential profitability for that segment longer term?
Michael McGarry: Yes, so Michael, this is Michael. I would tell you, we're going to get all that back. This is an area that is a high focus for the company. We won't get it all back immediately, we have to be successful in our price increase as we have to be successful in managing our costs, eliminating complexity and things like that. But at the end of the day, our team is very confident that overtime we will get back to those peak levels.
Vincent Morales: And if I could just add Mike, these are tremendously value add products for our customers. They bring a lot of value to the appearance of their products, were very important instrumental in their manufacturing process and those value attributes something they value and we’ll get paid for. 
Michael Sison : Right, thank you. 
Operator: The next question will from Frank Mitch of Permian Research [ph]. Please go ahead. 
Unidentified Analyst: Thank you and good afternoon gentlemen. Michael, a lot of discussion on the impact of raw materials, you also highlighted the impact of higher logistics costs last quarter and certainly this quarter and expectation for it to plague Q4. I was wondering if you could provide an order of magnitude of what the negative delta is there and is there anything short of trying to get pricing, et cetera to offset that you can do there to improve the situation.
Michael McGarry: So Frank, I think we have been clear, it’s north of 20% this is availability of trucks as well as the fuel and everything else that goes along with this. So, we do use tools to combine loads from one place to another. And so we’re actively trying to manage that, at the end of the day this is not just a U.S. issue which a lot of people think, this is a global issue, the amount of truck drivers around the world is decreasing and we see the same trend whether it’s in China or Europe or the U.S. So, I don’t think this is going to go away and we continue to work on I mean if you think about a lot of our businesses we ship full truck loads. So it’s not like it’s LTL kind of stuff now for our smaller customers it is, but for our big ones, it’s not. So…
Vincent Morales: This is part of our normal pricing discussions Frank with our customers. We talk about commodity inflation and we also talk about logistics inflation.
Michael McGarry: And they have the same thing, so they fully are aware of it. 
Unidentified Analyst: All right, terrific that’s very helpful. And then another topic regarding PPG, this has been in the news of late, is that -- is China’s involvement in the equity. Is there anything you can share with the investment community in terms of the relationship that you have there friendly, hostile what have you what sort of suggestions they maybe offering, is there anything that you could add some color too?
Michael McGarry: Well, Frank, as you can imagine, we engage with all our investors throughout the year and we always value their feedback, we find them to be helpful and -- but we also have to be respectful of those individual exchanges, right. And so right now we’re not going to share any details about any of our investors and I hope you can understand that.
Unidentified Analyst: Certainly, thanks so much. 
Michael McGarry: Thanks, Frank. 
Operator: The next question will from Christopher Parkinson of Credit Suisse. Please go ahead.
Christopher Parkinson: Thank you. Of all the moving parts in 3Q such as pricing cadence, raw material inflation, the volume trends. Can you just compare and contrast what you believe the dialogue in these same topics just in terms of what you think is the most material will be two quarters out just. What if any do you think the major differences will be from your perspective going forward? Thanks.
Vincent Morales: This is Vince, I’ll start and Michael will chime in here. But if you think two or three quarters out again we’re getting momentum in pricing, I think that’s important so we’re getting it as Michael and John Bruno mentioned, across most of our regions and all of our businesses. So two quarters out we expect that to be further down the path in terms of pricing. We do think in 2019 we’ll see commodities trade on supply demand and only supply demand and that’s important for us. On the other side we still are uncertain about how the macro will look especially around the tariffs. So those would be the kind of the moving parts.
Michael McGarry: Yes, Chris, I would also add that oil is the one thing that has on our watch out list, so I don’t think we’re going to be talking about TiO2 down the road, but we’ll be talking about solvents and various things that are impacted by oil. 
Christopher Parkinson: That’s helpful. You’ve had a bunch of various costs cutting efforts over the past several years. In addition there is continuous improvement initiatives. Given where current volume trends are and where you think they will be over the next few years or so what else if anything, can you do from the cost side. Is there any change of thinking here or just how should we think about that over the next 12 to 24 months? Thank you.
Michael McGarry: Yes, I think we have a continuous improvement culture at PPG, we have very active lean Six Sigma initiatives. We measure ourselves on a performance basis versus prior. And so, we'd say, we want to get better every day versus the day before. And so, our teams are expected as part of the planning process to bring forward ideas on how they can improve sort of whether that's the velocity through the plant, whether that's reducing the complexity of the SKUs or the raw materials, or the formulas, those are all opportunities. Certainly, we're looking at our distribution logistics on how we can improve that. So I would tell you that, we still have a list of ideas that we're working through.
Christopher Parkinson: Thank you very much. 
Operator: The next question will be from John McNulty of BMO. Please go ahead. 
John McNulty: Yes, thanks for taking my question. On the raw material front, the hike that you saw year-over-year, I guess, I'm trying to understand how much of it was from the actual raw material basket that you're exposed to versus product that was maybe coming through inventory through your international businesses particularly -- because I know a lot of those use FIFO. So I guess how much of it was inventory work in itself through that might have gone up earlier in the year? It just seems like it's a high rate for the third quarter based on kind of some of the trends that we track?
Vincent Morales: Yes, John, this is Vincent. Very minimal of the latter, much more of the former, we did say oil move up, which pushed solvent higher than it has been in quite some time. We haven’t anniversaried some of the other increases we mentioned epoxy resins many times on the call in the last several quarters, will anniversary, the spike and epoxy resins in Q4. We still saw inflation and other cost buckets and then that was coupled with the logistics costs inflation that's been moving up all year. So we'll anniversary some of this in succeeding quarters, which will make the year-over-year comps easier. But it's still was our highest of the inflationary cycle.
Michael McGarry: I mean, I think, john, if you look at third quarter last year oil averaged about 48, this quarter averaged about 70, xylene was up 30%, propylene dependent upon in which region you are in was up anywhere from 23% to 45%. So, I think there's enough of that detail out there that might help you understand, what's the costs over quarter-over-quarter or year-over-year impact was.
John McNulty: Got it, fair enough.
Vincent Morales: I think, [inaudible] one more than, John. And I know a lot of folks look at things sequentially and we do agree sequentially things are flattening. But again on a year-over-year basis, which is our comparative picture here, we still had very stern inflation. 
John McNulty: Got it. No, fair enough. And then I guess just as a follow-up. On the U.S. auto platform, the high-single-digit growth seems to really kind of stand out as an area of some really above market type growth. I guess, is there a way to think about it in terms of number of contracts that you’ve won, or something like that? It sounds like you did display some players out there. So I guess, I’m just trying to figure out how much of it may be real, if there was a little bit of pre-buyers. How to think about that? 
Michael McGarry: No, it’s certainly not pre-buying. It’s -- some of it’s mix. So if you think about the platforms that we are targeting, we’re obviously -- there’s a big shift to the SUVs and things like that. So we’ve seen this trend coming for some period of time. So we try to be targeted on the right platforms. So that’s part of it plus we’ve done pretty well in our parts businesses. So what we’re painting there. So I think those are the two pieces.
John McNulty: Great, thanks very much for the color. 
Operator: The next question will be from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar : Yes. Hi, good morning or good afternoon, I should say. Michael, Vince hi. It seems like company own store channel is doing well for you and for others in the industry. That store volumes have grown consistently at a better rate than big boxes. So why not get more aggressive in buying store chains? I think there are still quite a few left in North America?
Michael McGarry: Yes, P.J. as we know the best recipe for that is a willing seller. We have -- we’re a willing buyer, we’ve tried, but we haven’t always been successful. And we’ll continue to look at those opportunities where it makes sense. But we do see this trend continuing to do it for me is a trend that is not a short-term trend.
P.J. Juvekar : Thank you. And a question for Vince, Vince the cash deployment goal of $1 billion in fourth quarter on M&A and buybacks. But seems quite large, I saw your today's acquisition of SEM Products, but that seems small. So is it fair to say that the cash use is more geared towards a large buyback in 4Q?
Vincent Morales: Well again, I think as we said earlier on the call P.J. we do have several other acquisition potential targets that we hope come to us if the price is right, and hopefully we can get those done in the near-term and that would the governor of the share repo. Because of our ability to extract synergies from those acquisitions. Absent that then fly will would certainly be share repurchase. 
P.J. Juvekar : Yes, but the share repurchase still seem quite large compared to first three quarters. Is that fair?
Vincent Morales: Yes. Again, we've made a cash commitment out there. We're working up our leverage as you know, our balance sheet leverage. And we think our equity is not a bad purchase.
P.J. Juvekar : Great, thank you. 
Operator: The next question will be from Vincent Andrews of Morgan Stanley. Please go ahead. 
Vincent Andrews: Thank you good afternoon. I’m just trying to reconcile, you have the refinish issue that you discussed a bit already. And then I think there also was a comment on aerospace and maybe volumes being a little bit softer in 4Q from an inventory management perspective. So what I am just trying to understand is that it's clear that you guys had a lot of price efforts out there and that's what you continue as you set into next year. So what's -- shouldn't there be -- is the incentive be the other way for the customers to buy more rather than less?
Michael McGarry: Well most of our customers and when they buy they put it on, except for refinish, if you think about a can coating line, I mean, they're buying and they're applying it. And if you think about an automotive guy, I mean, we deliver ours before they need it. Aerospace okay, maybe they do have a little bit of inventory, but by and large not a material kind of thing. So most of our customers are more just in time than you think. Refinish is the one major difference. So I think our customers are not going pre-buy if you will in this space. 
Vincent Andrews: Okay. And just as a follow-up, a lot of conversation in the investment community about rising interest rates and mortgage rates and slow in existing home sales. So it doesn't sound like you're seeing any meaningful slowdown either in the paint stores or in sort of your underlying DIY trends. How are you thinking about those dynamics kind of in the near to medium term?
Michael McGarry: Well, I think you have to look it on a regional basis. If you look in the U.S., those trends are going to continue. In Europe, they haven't ever really recovered from the 2008-2009 timeframe. I am encouraged a little bit that Europe is starting to see some construction moving in there. As you know, we usually are painting several quarters after the construction period. So a little bit more maybe some partial green shoots over there. Mexico is doing exceptionally well. And I don't think we have a lot of concern any other place besides Europe and Canada is a little slower than the U.S. obviously, but other than that I'd say we're pretty happy.
Vincent Morales: And Vincent I'll just come back to the U.S. If you look at trends again repair and remodel continue to be strong, commercial construction mix by U.S. region but generally solid new home as everybody in those is still growing, but at a very modest cliff. That would be the one that's probably more sensitive to what you're talking about.
Vincent Andrews: Okay, thanks very much guys. 
Operator: The next question will be from Don Carson of Susquehanna Financial Group. Please go ahead. 
Don Carson : Yes, just a follow up on your company stores, you talked about high single-digit year-over-year growth. How much of that price how much was volume? And is company stores still an area where you're seeking further price initiatives you need the third company store price increase to restore margins to where they were?
Michael McGarry: So, Don, I don't want to get into this split. I will say that volume was better than price. But I would tell you we announced in October 1, price increase in our stores. And we'll have to push that through the channel. And then we'll make an independent decision at some future point in time on whether or not we need any further increases in that channel. 
Don Carson : And what was the magnitude of that price increase?
Michael McGarry: I would say it was in the 5% to 7% range. 
Don Carson : Okay, thank you. 
Operator: The next question will be from Duffy Fischer of Barclays. Please go ahead.
Mike Leithead: Hey, guys, it’s actually Mike Leithead, on for Duffy, good afternoon. Can you just talk about what you’re seeing in the protective and marine markets, obviously there was a headwind for some time, but it looks like the heat map is pretty green now for the second and third quarter in a row. So maybe just a little color on how that business is trending for you?
Michael McGarry: Yes, so the best thing to look at in that space is Clarksons. Clarksons had said that it’s going to be flat in 2018 versus 2017. And then they have projected a 20% increase in new builds in 2019, now it caution people that we paint to 12 to 24 months dependent upon the size of the ship after the starting. But that’s a good sign. The other ones, if you look at the capital projects for a number of our oil guides, their capital budgets have been increased. So that’s a positive you see Columbia their oil and gas business is getting better, U.S. onshore is getting better. So maintenance and repair for marine had held steady and in fact I would say it was probably up plus 10% the last quarter. So I would say, as we’ve said in the prior two calls, that marine is bouncing off the bottom, we’re going to see continued improvement in that and protective we should see more investment in that space. So this should be an area of growth going forward.
Mike Leithead: Great. And then on capital deployment, you guys have typically talked about acquisitions and repurchases in two year increments. I guess when should we start thinking about new range of potential deployment targets on M&A and buybacks for 2019 and beyond?
Vincent Morales: We would typically provide more guidance about next year on the January call. 
Mike Leithead: Got it. Okay, thanks. 
Operator: The next question will come from Jeff Zekauskas of JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much. In the quarter your SG&A expense was $867 million and in the previous quarter it was $941 million and if you look at it on average by quarter for 2017 it was $895 million. Now I know that you’ve cut incentive compensation, but can you give some indication of what your normal level of quarterly SG&A is, because the third quarter number seem so anomalous and low?
Michael McGarry: Well, Jeff, part of that what you’re seeing there is some of the restriction actions we talked about, we talked about $20 million of savings in Q3 alone. The combination of two programs. There is always noise in there around currency. So if you’re looking at it on an absolute basis currency is going to move it around quarter-to-quarter and our target right now and where we’re running right now, we still have more work to do with our restructuring. So I would hope this would be a high water mark given the same level of sales.
Jeff Zekauskas: All right. So then there is pricing, so one of your ten competitors announced earnings and I think its industrial prices were up 7% and maybe it's accretive prices were up 5%, which is very different from the levels that you guys have. And when you look at your gross margins through the years, they have degraded that is they began the year down 240 basis points and now they are down 340. So -- and your absolute level of price year-over-year really hasn’t changed much from the second quarter to the third or even from the first quarter to the third. So what’s been going wrong for you in price, why hasn’t it gone up faster and why are your results different than some of your major competitors?
Michael McGarry: Okay, well first of all Jeff, what you’re referring to, the quoted price and mix? So I didn’t hear anybody ask them the question of would they separate out price from mix. I think that’s the first thing you probably ought to get an answer to. The second thing is, if you compare our overall margins there as you would see that we still have a substantial higher level of margins than there. So, I would say it’s easier to jump over lower hurdle than a higher hurdle. And so that would be something else that you might want to look at. And then the other one would of course be mix. So I think those are all think about automotive business that we have and automotive business they don't have. So I think there is some questions in here that probably need a little bit more deeper understanding and analysis on.
Jeff Zekauskas: Okay, great. Thank you so much. 
Michael McGarry: Thanks, Jeff. 
Operator: The next question will be from Kevin Hocevar of Northcoast Research. Please go ahead. 
Kevin Hocevar : Hey, good afternoon everybody. You talked about raw material inflation year-over-year inflation moderating here in the fourth quarter as comps ease a bit. But conversely on the pricing side, you are starting to gain a little traction here in the fourth quarter of last year, so comps get a little bit more difficult. So you've been able to progress year-over-year pricing sequentially higher as the years gone on. So wondering how we should expect that pricing side of the equation to trend going forward? Do you expect that to continue the year-over-year growth rates to continue to get better or will we start to see that flatten out a bit?
Vincent Morales: Yes, Kevin I think you're right, we started to get in earnest to some pricing in Q4 of last year. So we do have a harder pricing comp we do. We are targeting more pricing across our whole portfolio. So our expectation is again, we're looking at this as a price raws gap and our expectation is to close the gap. And we do expect that to occur in Q4. We think the comps again on raw materials are easier. And even though the pricing comps easier, we expect further pricing. We're not going to give out a specific number, but that gap will close possibly flip in here in the near future. 
Kevin Hocevar : Okay, great. And then on aerospace looked really strong, up I think you said low-teens in the press release. So wonder if you can give some color there. Is there share gains that occurred and just any color you could give there in terms of why the business is doing so well and your expectations going forward?
Vincent Morales: Well first of all if you look at the Boeing and Airbus builds, they are up year-over-year. Airbus builds were up 20% in the third quarter. Boeings were up 5%. So you have a strong base from that. Also we've been very successful in growing new transparency programs, so that's doing pretty well. And then you have the early signs of a military improvement, so that's also doing well. And then finally I would say because of our expertise in the aerospace business, many of our customers have assets to grow in managing their own raw materials we call it chemical management. And so they've asked us to help them there which has been share gain. So a number of these things you had the underlying strong industry trends, share gains as well as new product offerings.
Michael McGarry: And I neglected to answer a question from earlier about the year-over-year aerospace in Q4. We do expect more modest growth rates in Q4 in aerospace that's really on the backs of a very strong Q4 last year. So even though the growth will be more modest it stacked upon very good growth last year.
Kevin Hocevar : Great, thank you very much. 
Operator: The next question will come from Arun Viswanathan of RBC Capital Markets. Please go ahead. 
Arun Viswanathan: Great. Good afternoon, guys. Couple of questions, so I guess first off, just wanted to go back to the refinish issue. I guess what you're hearing from your customers is this that they just pre-brought a little too much and then they are destocking or is it the result of consolidation. Do you expect this to continue for couple of quarters or how long does this kind of take?
Vincent Morales: Yes, I think Michael, covered this earlier Arun. I'll try to give it a shot here just to give you a different voice. But we had a very strong 2016 and 2017 in the industry in terms of volume growth. We expected and our customers expected that to continue into 2018. First half of the year wasn’t as strong, but people bought and I hope that strong growth would materialize it hasn't. So our customers are settled with the higher inventory levels. One of them preannounced earnings alone so maybe a month ago. And so again we're seeing throughout the industry a lower growth rate than expected. This is two step distribution. So inventory buildup in the channel. And we expect that to deplete in a reasonable amount of time.
Michael McGarry: Yes, Arun, we just -- we see this as transitory, the underlying strength of our refinish business is very good. And we continue to have net market share gain. So, I have no concerns about this business long-term.
Arun Viswanathan: Okay. And just as a follow-up on the portfolio itself, you really kind of gone into several verticals over the last 10 years or so. How do you feel about the portfolio now? I know there's a lot of cross pollination of technology from auto OEM into other areas. But, do you feel like there are any other areas of the current business that maybe you're distracted from or potentially it's a lot of verticals, to manage? Any thoughts on that?
Michael McGarry: No, I mean, I think if you look at our businesses, there are a lot of things that crossover so corrosion is one, color is one, care is one. Those kind of synergies are hypercritical to being successful and it facilitates new product growth. When you look at our acquisitions, that because we're in all the verticals, we can look at acquisitions in virtually every space. So I think there's a lot of synergistic benefits from that regard. And because we do run on a business unit basis we have general managers that are hyper focused, laser focused on running their own individual businesses from the customer facing activities. And then we have a different group that manages of non-customer facing activities. So think about the IITs and finance and those kinds of things. So, we had the back office. So no, I think we are pleased with where we are and we're very optimistic going forward.
Arun Viswanathan: And just lastly, if I may, just on China, you referenced obviously slowdown in retail sales, some concerns around auto as well. Maybe you can just give us your thoughts on the evolution of the China market over the next couple quarters? Is there a hope that that would rebound and what would it take for that to happen? Thanks.
Michael McGarry: Yes. So I'm very optimistic about to China car market. If you look at the number of car park in China still very, very low compared to most developed countries. It's still an asset that is very important to up incoming middle class person in China own a car is status symbol that hasn't changed. Again it's a very important industry to the Chinese government. It's a huge employer of people as you know, employment is really important in China. So we're optimistic that this temporary slowdown we seek as a consumer confidence in the tariffs is going to moderate. And then it will get back on a growth track. So next year we're probably looking in that 2% to 3% range for China and it's the world's largest market.
Arun Viswanathan: Great, thanks.
Operator: The next question will be from Laurence Alexander of Jefferies. Please go ahead. 
Laurence Alexander: Good afternoon. Two quick ones. I guess first when you did the pre-announcement, there was a comment about how Q4 margins would be roughly comparable with the segment margins last year in aggregate. Does comparable mean close to or near or was there another meeting intended? And then secondly, just to follow-on, on the discussions to talk us about price versus mix, to get the margins in industrial backup to 18%, the implied message I guess that you're trying to -- that you were conveying or maybe I misheard is that you plan to get there through price and innovation and value add not through bottom slicing and sacrificing parts of the volumes. Is that a fair interpretation?
Vincent Morales: I'll take the first one. And again, I think it's clear in Q3, the macro environment moved against us, and that’s reason for the pre-announcement. But with respect to Q4, I think your definition and ours is the same in terms of comparable. We certainly expect to be at or around the prior quarter, fourth quarter margin for the company in aggregate.
Michael McGarry: And Laurence, I'll take the other question. You're going to get back to peak margins sort of number of factors it's going to be innovation, it's going to be pricing, it's going to be efficiency, and it's going to be share gains because. Because we bring products that customers value more than their competitive alternatives. So I think it's a little bit of everything, but mostly focus on getting pricing through innovation.
Laurence Alexander: Perfect, thank you.
Operator: The next question will be from Mike Harrison of Seaport Global Securities. Please go ahead. 
Michael Harrison : Hi, good afternoon. Wanted to go back to the architectural Americas and the company owned stores, obviously with good same-store sales growth going on there. Can you talk a little bit about the number of stores that you’re planning to add in the U.S. and Canada this year and maybe next year and then can you also talk about store growth in Latin America as well?
Michael McGarry: Yes, so store growth is regionally dependent, so in the U.S. we’re probably targeting in that 10 to 15 range, Canada would be in that 5 to 7 range, and Mexico it would be 40 plus. So, that’s -- and in Europe it would try be in the 10 to 15 range, typically what we look at. So again very regionally dependent. 
Michael Harrison : All right. And then wanted to also ask for a few details on the SEM Products acquisition that you guys announced today, maybe just a ballpark on what the sales contribution and margins and purchase price look like? And then also talk a little bit about the technology that it brings, it sounds like maybe some of those products are used for more flexible coating type applications in refinish.
Michael McGarry: Yes, so the technology is around repair of damage parts. And so it’s part of the paint, it’s what you do before you paint and so it’s highly synergistic with the paint. It’s an asset that we have thought after for a long time, we have been talking the owners, I can’t tell you how long has superior financial returns. Just to put in perspective, the margins here are better than the Comex margins, we’ll give more details on this after it closes, but I would tell you it’s a wonderful asset, it will help continue to grow our business and because of the way our business goes through distribution and the way theirs goes we’re going to have some additional sales synergies on top of their current base. But I would say some of the numbers that people have out there on it are probably lower than what the reality is.
Michael Harrison : Thank you very much. 
Operator: The next question will be from Steve Byrne of Bank of America. Please go ahead.
Stephen Byrne: Yes, thanks for squeezing me in. For two of the cost items that you provided some guidance on namely raws and freight and logistics. What fraction of COGS in the third quarter did those two buckets represent?
Michael McGarry: Freight and logistics for us is mid to high single digit percentages of sales depending on the business unit and I missed the first one Steve, what was the first, raw materials?
Stephen Byrne: The other buckets are just being raw materials since…
Michael McGarry: Steve that’s still around 75% of cost of goods sold.
Stephen Byrne: Okay. And then just to follow on to those is the primary driver of that inflation in raws, is it in particular chemistries such epoxies and urethanes over acrylics. 
Michael McGarry: Yes, you have everything, you have a proxy, you have TiO2, you have solvents, you have reactants, you have resins, MDI, TDI motions. Those are all impacting us. 
Stephen Byrne: And then just what fraction of your distribution is outsourced, and would you have any plans of changing that mix?
Vincent Morales: No, we don’t have change -- we’re not intending to change our mix of in source versus out source. 
Stephen Byrne: Thank you. 
Operator: The next question will be from James Sheehan of SunTrust Robinson Humphrey. Please go ahead.
James Sheehan: Thank you. Are you encountering any difficulties getting raw materials delivered in Europe due to the force measure in the industry caused by low water levels in the Ryan River?
Michael McGarry: No, those impact more the one step before us.
James Sheehan: Great. And then on your customer assortment issue you had a 280 basis points decline in the third quarter and that’s only about 180 basis points in the fourth quarter. Is that normal seasonality that you’re expecting and how should that trend in the next few quarters?
Vincent Morales: Yes, Jim that’s correct, the gap there in seasonality and in our next quarter call, the fourth quarter call we’ll give more guidance of what to expect in the first half of the year, we’ll take two more quarters to anniversary the loss. 
James Sheehan: Thank you. 
Operator: The next question will be from Dmitry Silversteyn of Buckingham Research. Please go ahead. 
Dmitry Silversteyn : Thank you for taking my call. Just wanted to follow up on the question on inventory correction in the automotive aftermarket business. What other businesses -- I know you've talked about some industrials, protective and marine automotive maybe not fall into that category. But outside of paints in North America and I'm assuming in other region. What are categories of your coatings go through a distribution channel or through a two-step distribution process where slowing market can lead to a similar pullback in inventories?
Michael McGarry: Well, very little guys through distribution a little bit in powder can go through distribution. Some protective coatings can go through distribution. But other than that not that much. If you think about, most of the people we're selling to were OEMs.
Vincent Morales: And most of our customers are hand of mouth Dmitry. And As Michael said earlier, hours or days is a large inventory level. 
Dmitry Silversteyn : Great. Okay, thanks Vince. And then just wanted to double check. You haven't been talk talking about the optical or specialty business within your performance materials or performance coatings business. Is that gotten folded into another operation or is it just become too small for you to even address it in the call?
Michael McGarry: Well, as you know our specialty coatings materials are a collection of four smaller businesses and they're doing quite well. And they're pretty much off the radar screen for a lot of our investors. So we don't spend a lot of time talking about it, but I'm sure John will be happy to take your call on anything particular in that area.
John Bruno: And Dmitry they’re in the Industrial Coatings segment. 
Dmitry Silversteyn : They’re in what, I'm sorry?
John Bruno: They’re in the Industrial Coatings segment. 
Dmitry Silversteyn : In the Industrial Coatings yes, okay. I'm sorry. And then final question your guidance of $1.03 to $1.13 on EPS, I mean, obviously includes a significantly higher tax rate than what you have been putting up in the first three quarters. And I'm assuming it also includes basically spending the $1 billion on share repurchase direct so a significant step down in share count as well.
Vincent Morales: Yes, if you look at the share repurchase again we haven't sized that and it's going to be governed by our acquisition capability. But even when you do share repurchases, I'm sure you're aware Dmitry from a calculation perspective you get a partial credit on your share count in the quarter you do it's modest partial credit. 
Dmitry Silversteyn : Right. No, I’m understand but I'm not sure I've already done them all it's not going to be the full amount, but I just wanted to understand if the range was the range because of the uncertainty of the timing of the share purchases or the range assume you are going to do basically the full $1 billion and then see where the operating conditions fall? That's all the questions I have.
Vincent Morales: Yes, thank you, Dmitry. 
Operator: Ladies and gentlemen this will conclude our question-and-answer session. I would like to hand the conference back to John Bruno for closing remarks.
John Bruno: Thank you, Denise. I'd like to thank everybody for their time and interest in PPG. If you have any further questions please contact our Investor Relations department. This now concludes our third quarter earnings call. 
Operator: Thank you, sir. Ladies and gentlemen the conference is now concluded. Thank you for attending today's presentation. At this time, you may disconnect your lines.